Andrew Cole: Good morning, everybody. And welcome to our Last Quarterly Conference Call for the year. I am joined here today by Warrick Ranson, our Chief Financial Officer. Copy of this presentation and the disclaimer is also on our website. So I am going to leave you to review the disclaimer in your own time. So on to our strategy, each year we review our company strategy to make sure that we consider the macro-environment, the megatrends, the change in the cycle expectations, and the threats and opportunities that all these things create. This year's review has been a highly collaborate effort between the Board and the Management teams with us again confirming our commitment towards creating value for our five stakeholder groups. And those are employees, community, government, suppliers and of course our shareholders. We are going to talk more about our company's strategy in the review we have undertaken at our November Strategy Day. You will be familiar with the Company's snapshot image which we show in each of our decks. And it provides a visual overview of the composition of our portfolio. This has not changed since our last quarterly report with Australia comprising over 80% of our portfolio. The majority of our focus over the past three months has been to improve the definition of the many options we had in our pipeline, many of which I am going to touch on in the next 15 or so minutes. As we progress our pipeline of projects, we want the forward schedules to be as transparent as possible. So these are reference, we've include our project timeline, which serves as an indicative guide to the milestones with each project. As planned in our half year announcement, the West Musgrave timeline has been changed with the PFS pushed out by six months to give us more time to bring some key innovative ideas into the base case. Before we get into details, I’d like outline some of the highlights from the last three months. I am pleased to report that the copper gold concentrate stocks have returned to normal levels following strong sales in Q3 with all deferred shipments from the Q2 recovered as well all Q3 schedule shipments completed. At Prominent Hill, we are on track to deliver copper and gold guidance and we revised 2019 C-1 cost downwards as a result of cost efficiencies and copper gold mix. We had however also had some lower underground or movement guidance as we are unable now to make up for the slow start for the year which was compounded by the impact of the Woomera defense sign closure that require us to close the operation for four days. It’s unfortunate because the team achieved the combined underground run rate of about 3.8 million tonnes per annum in July and August combined. So that have now demonstrated the capability to deliver the 3.7 to 4.0 million tonne per annum rate. At Carra construction is nearing completion and we are on track for first saleable concentrate in November. We now have about 180,000 tonnes of development ore stockpiled on service and the site is now connected to group power. At West Musgrave we continue the prefeasibility study as we work to include new opportunities into the base costs including Loesche Mill which potentially offers significant power and cost savings. In the Gurupi Province we have seen some encouraging indicators on the removal of injunction which we expect to continue into this quarter. And following the OZ Minerals Board visit to Brazil just this last week, we are progressing initial daily work of Pedra Branca, the first element of our Carajás hub strategy, whilst we advance the feasibility study. So I’ll now hand over to Warrick to take us through the OZ Minerals cash balance.
Warrick Ranson: Thanks Andrew and good morning everyone. Following the expected strong quarter of sales, total group working capital reduced by 120 million from the half year with the reduction in concentrated stocks and positive movements in both trade receivables and payables. Ore inventory also declined with the continued drawdown of open cut stockpiles. Significantly these movements have ensured we have retained a substantial cash balance at the end of September of $195 million. Our strong operating cash flow is matched by further progression to first concentrated Carrapateena with $150 million expended in projects cash outlays as we move to complete surface construction work and commence progressive commissioning. Project development activity also continues on the West Musgrave, Carra expansion and Gurupi studies and in the Carajas we commenced work on the list of the training facility as well as engineering proprietary site works for Pedra Branca. Work on the Malu Paste Plant at Prominent Hills is now approximately 60% complete and progressing to schedule. And in September we returned $26 million to shareholders in the form of fully franked interim dividend in line with our capital management strategy of providing shareholders with a sustainable allocation of net operating cash flows as we continue to grow. Thanks Andrew.
Andrew Cole: Thanks Warrick. So at Prominent Hills the works at the construction of the Malu Paste Plant remains on track and we expect that old structure mechanical and parking packages to be completed by the end of this year. In September, the team completed the scheduled plant shutdown and as mentioned we also had to shut the operation and evacuate the site for four days when the Department of Defense conducted testing on the Woomera defense side. So whilst this closure was unfortunate, it also enabled us to test our flexible work approach and gave us the opportunity to trial a temporary remote operating center from our Adelaide office which proved very successful and as a result it will become a more permanent facility for us next year. As a result of the successful gold trial completed earlier this year, we will see regular grade gold stockpiles brought forward to the start of 2020 which will push out the low-grade copper stockpiles following observed gold recoveries of about 77% which are up from the originally assumed 71%. The Prominent Hill expansion study is progressing well. Phase 1 of the underground expansion diamond and drill program has been completed with some encouraging results. We will start round 2 of the expansion drill campaign later this year. On haulage we've anchored our design base case on a vertical shaft comprising a skip hosting system with assessments scenarios ranging from 4 million up to 8 million tonnes per annum. This study is going to continue throughout 2020 as we continue to define the resource and evaluate the various expansion cases. Around Prominent Hill we are about to commence a 3,000 meter drill program to test the top consensus targets from the Explorer Challenge completed earlier this year which we were quite excited about. I’d also like to take moment to acknowledge the exploration team for jointly winning the 2019 Australian Mining Prospect Awards for innovative mining solutions just last week to get up with other for the Explorer Challenge. So again just let Warrick for Prominent Hill cost performance please.
Warrick Ranson: Sure thanks Andrew. So as previously alluded to, C1 cost have continued trend back towards guidance as sales volumes and the associated commercial cost begin to align with our production rates. Paste filling together with the impact of marginally lower quarter on quarter copper production from start sequencing and recovery increased our unit mining costs although these were offset by circa 12% increase in gold production which lowered overall C1 cost for Prominent Hill to 72.6 cents per pound. This strong performance continues to place Prominent Hill as a solid first quarter producer and enabled us to sharpen our guidance as Andrew indicated for the full-year and at the lower end of our original range. I just like to note here that on the presentation there is actually an error on the slide in terms of previous guidance to upgrade 65% to 75% per pound which is the right number in the report. The green zone hold site closures in September also contributed marginally to underground mining performance although mill throughput levels where comparative quarter-on-quarter despite minor levels of unplanned shutdown activity and plant maintenance in September. Mining cost per tonne continue to improve with efficiencies of scale and the solid operating performance of the Prominent Hill underground team contributed to that although metal unit performance full of cost remains variable with grade. Higher all in sustaining costs reflect both the quarters C1 performance and the beginning of the second half catch up inside sustaining capital which we’ve talked about before. Thanks Andrew.
Andrew Cole: Thanks Warrick. So very pleasing at Carrapateena it remains on track for first saleable concentrate production in November this year and now has over 180,000 tonnes of development ore stockpile ready for plant commissioning. The underground development team have rapidly increased their monthly development rates month on month with it now being well over three kilometers of development per quarter. This brings total underground to over 18 kilometers and we are now at very good depths of the 662 meters. It’s been very busy quarter for work package completion and commissioning with just a few of the highlights mainly following things. So pre production feeder, the overhead power line and the underground ventilation rises 1 and 3 primary vent fans, the Tjungu village power supply, Northern well field stage 1, and completion of the telemetry and solar commissioning of the radial wellfield we have also now energized process plant switch rooms. And as per the photo on the slide, the Carrapateena underground crusher chamber excavation was completed on schedule with civil works progressing well and mechanical work scheduled for completion in Q1 2020. Looking forward, the Carra Block Cave Expansion pre-feasibility study and the associated Life of Province studies will support another update of the Carra Mineral Resource and Ore Reserve statements due next month. And Diamond drilling of both the upper sub level cave and block cave footprints will start in Q4 this year to further improve geotech and resource knowledge to support the ongoing expansion studies. So in the Carajas, last week we took the OZ Minerals Board to Brazil and spent the week in the Carajas where they met the various team members and visited the various project sites. We also introduced them to our new Brazil Advisory Board. This Advisory Board comprises independent professionals with long histories in mining government and legal across various industries in Brazil. The Advisory Board has provided a sounding board for the local teams and Carlos, the CEO provided advice to me and now more recently the OZ Minerals Board. And these people have provided some very invaluable advice and guidance to us. You can find the individual Brazil Advisory Board bios on our website. During the visit, we reviewed the phase of the Pedra Banca pre-feasibility study which will continue over the next few months. And as a result of that confidence, we approved for an early works program to begin which will include preparation for the construction of a decline. Much of this work is to protect the site through the December March wet season. Just as a reminder, the Pedra Banca base case includes 1 to 1.2 million tonne per annum underground mine with primary crushing and all sorting onsite after which pre-concentrated rome ore will be trucked and test to processing with the tail stored in the open pit once depleted. Expenditure for the remainder of the year on Pedra Banca is only going to be about US$3 million. At Antas we are on track to deliver production guidance. We are currently revising our mine plan to steepening walls by a double benching so that we can play deeper higher grade ore instead of taking another cut back. This change lowers sub sustaining capital and our all-in sustaining costs. Drilling in the Antas mine included 16 holes at an exploration project called Clovis. And several of the holes intersected massive copper bearing structures, which was quite encouraging, so final results of these drill assays are due in the next month or so. In the Gurupi Province, we're concentrating our efforts on the removal of the CentroGold injunction. The feasibility study and further regional exploration work will follow once the injunction has been removed. West Musgrave pre-feasibility study has continued to bring value accretive opportunities into the base case. One of the add-value enhancing opportunities being evaluated is the potential to utilize Loesche Mill, we now completed a second pilot that has verified the model results showing that it could significantly reduce power consumption and eliminate grinding media costs relative to the Loesche Mill or mill grinding circuit. Many other opportunities are also being explored and updated mineral resource with an expected improved resource confidence is currently being prepared and this should support our maiden ore reserve plan for early 2020. We have a well developed growth pipeline with multiple projects at different stages of maturity and this allows us to allocate resources to the most value accretive activities. I think we're in a strong position of having choices to make about which projects we progress and when. I'm not going to cover off what all the exploration works completed this last quarter, that work has progressed on many fronts and that will continue through year-end. So looking ahead, at a couple of the more important milestones through the end of this year, we  expect to provide an updated mineral resource end ore reserve statement for Prominent Hill and for Carrapateena and of course, we also have Carrapateena’s first planned commercial concentrate production scheduled for November. As we enter the final quarter of the year, we have been able to narrow the guidance ranges in a number of areas. So a few of the highlights here, positively Prominent Hill all-in sustaining costs will likely end in the bottom range, and we've also lowered the C1 cost guidance. Unfortunately Prominent Hill underground ore movement guidance has been lowered as previously discussed, despite some great progress in July and August. At Pedra Branca, we will spend an additional $3 million to ore and early works and FS study. At Carra there's a small reduction to site sustaining capital which has been transferred into the pre-production capitals as we get clearer site on commissioning, At Antas, we have achieved site sustaining capital and handling sustaining costs guidance as a result of changing from a cut back to a lower capital wall steepening program, and we've also pleasingly increased our Antas gold guidance up to 5.4 to 5.8 thousand ounces. And finally, we've lowered global exploration spend to $25 to $30 million. So now just hitting the highlights, a few quick summary takeaways. Prominent Hill on track for production and we've lowered the full year C1 cost guidance. Carra construction is nearing completion and we're on track for first saleable concentrate in November. The West Musgrave PFS continues as we work to lock down the project scope. And in the Gurupi Province, we're progressing removal of the CentroGold junction with positive indicators observed to date. In the Carajas, we are progressing with FS and some thoroughly wet weather preventative works at Pedra Branca, which is the first element of our Carajas hub strategy. So that brings me to the end of the quick summary running through our Q3. Operator, can you please remind people how to ask questions for either Warrick or myself. Thank you.
Operator: [Operator Instructions] We have multiple questions in the queue. Our first question comes from Michael Slifirski from Credit Suisse. Please ask your question Michael.
Michael Slifirski: I've got four quick ones. First of all, Pedra Branca the all sorting technology. What are you proposing to use and has it been tested and demonstrated?
Andrew Cole: Hi Michael, it is the all sorting technology we've entered on this assignments [indiscernible] but this time we have been testing, this time that has a commercial scale or sort of in the city of Pará, which is where our head office in Brazil is and we have been testing material from Antas both ore and mineralized waste through that all sort of the test is - characteristics if you like and it's weight reduction and it's recovering and we're about to test a small sample from crushed drill core Pedra Branca, the results have been quite encouraging.
Michael Slifirski: Secondly, with the shaft proposal concept, can you sort of indicate a couple of things as oppose one the indicative capital for the range as you've talked 4 to 8 million tonnes per annum. What OpEx saving dollar per tonne wholly saving you'd expect to get and whether it has any implications for cutoff grade and conversion of resource to reserve players?
Andrew Cole: Absolutely Michael, very good questions. They're all part of the study obviously, so I can't give you all doubt that you’re asking for now because we're still working through it. And a lot of these depend on the final scope, so as you can appreciate depending on how deep you take a shaft we will materially influence the capital cost and ended maturity influences the operating cost. So all of these questions you've asked are the key questions that we need to answer over the next 12, 14 months. But indicatively if you build a one kilometer long shaft you're talking about a $100 plus or minus, and you get a - quite a good reduction in operating costs. So that will give you a ballpark, but lot of those questions are still to be answered Michael.
Michael Slifirski: With respect to the cost guidance revision for Antas, just trying to understand what the offsetting things were, because we can see what the 4 million sustaining capital reduction, extra gold, so a couple of million there, so a $6 million net benefit, but $2.8 million net reduction costs. So what was the balancing item, where have the costs actually increased?
Warrick Ranson: Michael, Warrick here. Just basically general improvements, so, the site continues to look at opportunities and reassess their overall option cost performance, so productivity guidance effectively.
Michael Slifirski: You know the question was really quite the opposite, but if we multiply the all in sustaining cost reduction, it's a lot less than what the implied is by the increased gold production and the reduction in the sustaining capital, it's about half. So if you can come back rather than do the maths on the - it looks like a sort of a $6 million benefit that flows through to about a $2.8 million realized benefit.
Andrew Cole: Yes, let me come back to you offline Michael.
Michael Slifirski: That's fine. Thank you. And then finally, with Carra approaching, I'm really interested in how we should think about that first year. I think the only cost guidance we have is some live of mine average is for each of the unit costs. But if in the first year or so where your run operating a day not for rate presumably there is some sort of fixed cost impact on those unit costs. And in addition I am interested in what the impact is of that - is carried old blankets where you'll not getting a full revenue contribution for the operating cost you’ll be putting in. So interested in how you would have us think about some that first year's operating costs still up a tonne compared to that plus or minus guidance?
Warrick Ranson: Yes sure Michael. So we will give full year 2020 guidance in January next year so you’ll get full transparency both of the components but the way to be thinking about this is 2020 as a ramp up year for Carrapateena. So it’s effectively carrying all of the fixed cost for the business. The only variable cost that you will see there will be reduced variable cost will be the campaign running processing plants. So it will be run for periods of time and then shutdown for periods of time. In terms of copper and gold metal output what we have given you today is that you should straight line from November to mid-2021 so you can work out from 0 to 4.25 so you can work out roughly with the metal output next year is. So 2020 is still very much a development year for next year. We obviously need to finish off underground crusher as I have talked about and the installation of the conveyer and they will be quite a bit of development work still. So it's still of high investment year for Carrapateena.
Michael Slifirski: So if we summarize then in terms of a proportion of the life of mine cost, the dollar million that you expect would be fixed next year, how would have us think about that?
Warrick Ranson: Yes look I haven’t given you that number yet Michal and I can’t give it to you on this call obviously but the number that you've got which - the only number you can use the data is a number we provided in PFS for 2020. It is going to be a heavy capital period for the first half of next year and Carra won’t be cash positive next year.
Operator: Our next telephone question is from David Radclyffe from Global Mining Research. Please ask your question.
David Radclyffe: Good morning Andrew and team. I had couple questions firstly coming back I guess to the point here on shaft concept. Given the preference now for potentially a shaft obviously this is higher complexity and potential cost. So I’m just wondering here how aggressive is it to actually deliver a phase study by the end of next year given you got ongoing drilling and have you actually picked and tested the location for the shaft yet?
Andrew Cole: So this work has been going on all year, in fact it started last year with this concept study looking at various haulage methods. So as you’ll know we've been looking at comparing declines we’ve been looking at vehicle convey and shafts in addition to trucking and scaling of trucking. And all of the work we've done suggest a shaft is the most value accretive when you take into account capital and operating efficiencies. Yes, the team have got some preferred site locations but they are subject to change they obviously depend on the resource and how things together as we continue to drill that. So it’s premature to say right now where a final location could be but the team has actually - obviously got some preferred location. I also think it’s important to stress that we are still very much investigating the range between 4 million and 8 million tonnes. So it’s not say we will be 4 to 8 but the range where - that we are investigating for an overall site output. So there is two piece of work that need to progress here to enable this, one is to study on the shaft base case and the second of course is increasing the confidence of the 80 million tonnes of primarily and third resource sitting underneath and around the current mile underground. So that's why it is going to take through end of next year and we have engaged some external consultants to fill us in the study and operational readiness of that work. We can’t go into too much more detail just given the early stage of that work really.
David Radclyffe: So then when we think about that larger concept being the 8 million tonnes obviously one advantage keeping the gold largely full. But what are key risks that is going to identify so far and as you are delivering that large scale operation. Is it the actual ore body? Are you confident that it can deliver to 8 million tonnes imagine the early years it's what and your mining demand supported by circa 4 million tonnes out of Malu?
Andrew Cole: Yes David, I’d say by default we can’t say we are confident enough that ore body can support this year that’s why we need to continue most of the 80 million tonnes of resource sitting underneath the pitch inferred somewhat indicated. But we need to improve the confidence of that resource first before we can start drawing conclusions on whether to sustain a shaft haulage method. So that’s the work that we need to do over the next period. All I can really flag at this stage is given the capital operating cost of the various options and shape of the ore body as we know that the shaft is a preferred option. So I would use [indiscernible] probably as you’ll inch mark for what can be done that’s probably an analog to where Prominent Hill I would say.
David Radclyffe: And just one quick last one obviously you’re looking at asset timeline, which is very helpful and you in a great position of having sort of five projects almost looking like they're ready to sanction for the Board in 2020/2021. Appreciate the goal is to advance the better projects and to have the choice. But that's a lot of spending and activity to get those five projects to that stage to make that decision. Is there any sort to maybe whittling that down a little bit given where you are now I am sure there is a some preferred projects and I am imagine some of the Brownfields projects yeah like the expansions are going to debate?
Andrew Cole: Yes look it’s a really good question David. So being in a position of allocate capital I would say is the important point first. So having choice I think it’s really important as we flagged earlier on this year. We already delayed the West Musgrave project the most important phase of the project in that PFS stage we optimize the scope. And we’ve consciously delayed the project pit by six months because we've got some really good opportunities we wanted to integrated the base cuts so. To have a portfolio of projects allows you to do that to optimize projects grade and I should be progress. But as we sit here today I can’t tell you which is the more a better project than the other the minute we know things like that that’s when we’ll stop projects with 8 systems. But to have such increase is really important but I think as you correctly state Brownfield value is usually highly accretive. So expansion plans at Prominent Hill, expansion plans at Carra, expansion plans in Brazil around Carajas hub can be quite value accretive as compared to Greenfield project. So when we allocate capital we are comparing them all on a like for like basis and the things that will create the most value will be the ones we fund first.
Operator: Our next telephone question is from Rahul Anand from Morgan Stanley. Please ask your question Rahul.
Rahul Anand: The first couple on Prominent Hill just wanted to understand given the first three quarters performance this year in terms of ore available from the underground. Where are your sort of forecast going into next year and are you still comfortable of hitting those run rates around 3.7 to 4. And then also the reserve grade is significantly lower than where we're mining at this point in time. However, we have seen a bit of a drop off so I'd be interested to sort of see your comments around where you think that trajectory looks going into next year perhaps. Those two are on Prominent Hill and I'll come back with one on West Musgrave if that’s okay?
Andrew Cole: Yes sure with that Rahul so firstly we’ve generally said that the Prominent Hill underground will be a 3.7 million to 4 million tonne per annum underground mining operation through life of mine. And I think the fact that the team in July and August hit 3.8 gives us a lot of confidence that they can actually do this. So remember they have been in a ramp up phase over the past two years to get to this point. And for the first part of his quarter they have demonstrate they can do that. September was a bit of an abnormality with the shutdown and forced evacuation of the site as a response to Woomera defense. So I am confident that they can deliver that 3.7 to 4 year-on-year so that the base case you should be assuming every year going forward. In terms of reserve grade the two things that dictate the order in which we take ore first one is mine plan sequence you can only take certain things at certain time. But in principle we will always take higher grade first because that's what value drive to loss. So we do sequence underground to take the higher grade material out first so you’ll tend to see higher grade in the earlier years and the lower grade in the lower years so that’s just a philosophy that we will always progress. Does that answer your question?
Rahul Anand: Yes but so considering that the grade has come off a bit, so would you then say that we've already peaked in terms of grade and going forward I mean it might not to switch to reserve grade. Let's say next year but we've sort of peaked in terms of what we are mining at the moment.
Andrew Cole: I didn’t necessarily tried that one.
Rahul Anand: Downwards?
Andrew Cole: Yes, no, look so the life of mine trajectory will be downwards but that doesn’t mean we have peaked right now. So it is still highly variable, I mean to keep your mine sequence obviously, you can only take certain scopes at certain times. So you will see variance in the recovered grade, but the life of mine trend will be downwards yes.
Rahul Anand: And then just.
Andrew Cole: I think the other thing sorry Rahul as far as the other thing to know is obviously the - in terms of overall output for Prominent Hill, it will vary based on the amount of underground fee and the open cut fee that – fee going forward. So remembering that next year, we start to move into the lower grade copper stockpiles.
Rahul Anand: Yes, noted. Okay and just the final one on West Musgrave. Just wanted to understand the nature of the delay I mean, are we focusing at this point in time in terms of the metallurgy and sort of finalizing the process here or is it more around extending mine life and trying to bring in [indiscernible] and sort of any other sort of extensional ore into the project?
Andrew Cole: Yes, sure so just for a little bit of context quickly, West Musgrave PFS, we had pretty much locked in terms of scope at the start of this year. And as part of the agile process, we opened our PFS up to a lot of people. So we invited a lot of people to come here, external people from various sectors to come and challenge it. As a result of that we came up with a new list of opportunities to potentially improve the scope of the project and some threats we hadn't thought about. So the reason we extended the PFS was to fully test all of those new opportunities and some of those strengths to optimize the base case. So as an example, some of those things include primary crushing. So as I mentioned this morning here, we are investigating the use of Loesche Mill as opposed to conventional crushing. And we've run some pilot samples through the Loesche pilot plants in Germany.  And we're in the process of bringing their pilot plant out here now to test some more bulk samples. But that's been very encouraging. And the reason it's important to define whether we do or do not use the Loesche Mill in the scope now is because it changes your flow sheet quite materially. And it changes the size of the power plant, you potentially need quite materially. So there's a number of opportunities like that including sequencing, we are looking at sequence as whether it should or should not be in both case. So there is a whole draft of things that we're still looking at all designed to optimize and define the scope. Because as you know when you go into the feasibility study, you don't want to be shifting your scope around, you really want to be a lot of scope, and really just completing the detailed design and engineering. So that's the purpose of the delay and the team are actively working on each of these opportunities.
Rahul Anand: Okay, understood all right that's all from me. Thank you very much. I'll pass it on.
Operator: Our next telephone question is from Daniel Morgan from UBS. Please ask your question, Daniel.
Daniel Morgan: Just wondering firstly on the stockpile strategy chain, that you are pulling the gold stockpiles forward, you're pushing the low grade copper back. So just want to understand what next year might look like, should we just be using the reserve grade for the gold stockpiles which I think is about 0.8 grams and 0.1 copper?
Andrew Cole: In essence that is correct, Daniel. So you should be using the run a mine gold grade stockpile reserve as priority feed in 2020. And then we're pushing back to low grade copper. So is correct.
Daniel Morgan: And then when you've been looking at the scope of the shaft haulage, you're talking about four to eight. Does that mean that underground haulage would be incremental to that? Or is that, does the underground haulage go away under that, I'm trying to think about does the mine, is it four plus 3.7 to 4 or is it FS from shaft?
Andrew Cole: Look, it's a good question. I don't know definitively the answer to this because there'll be some trucking earlier on. But I think more of it as a complete replacement to the truck hauling to surface. So this will be a 4 million to 8 million tonne shaft haulage operation as opposed to a 4 million tonne trucking operation plus and X million tonne shaft haulage operation.
Daniel Morgan: Sure. And I'm just wondering about - will you be running out of stockpiles in the meantime and have to derate the plants or can you still make a decision and implement it before you run out of stockpiles?
Andrew Cole: So we've still got time, Daniel before we run out of stockpiles, but I think as we've previously discussed, if we have to derate the Prominent Hill mill, it's effectively disconnecting one of the primary crushing circuit. So reconnecting it is not all that material. So it's not terminal if we don't get this decision done before we run out of stockpiles, but the way it's panning out here is we do actually have the time.
Daniel Morgan: Right. And maybe that's a question also for the processing plant over in Antas, as Pedra Branca in simple terms, do you still think you could get up and running to shoehorn into the Antas plant or do you have to derate and shut Antas. Do we run out of ore before Pedra Branca gets up?
Andrew Cole: Yes, no we don't. So the current sequencing has us – had sufficient ore to keep Antas processing plant running at capacity.
Daniel Morgan: Okay, thank you.
Andrew Cole: Sorry that's obviously subject to us making a decision to go ahead with Pedra Branca.
Daniel Morgan: Yes, clear. Thank you for your answers.
Operator: Our next question is from Hayden Bairstow from Macquarie. Please ask your question.
Hayden Bairstow: Just a couple of quick ones just on back on the Musgrave, just want to understand is the work you're doing now to get this project to a level that is acceptable or is it basically already there and you just try to refine at the back to look better. Because obviously you've recovery rates had improved from what the original study was and just wondering what more - would you need to do more work on that – so now just about improving the economics, but it already looks like a pretty decent project. And just secondly, maybe one to Warrick, I mean if you do Musgrave and the shaft and the block cave all at once. I mean, is that something that you don't worried about in terms of funding it off the balance sheet without sort of larger debt facilities required. It's one of the thoughts about where you're thinking about that at the moment? Thanks.
Andrew Cole: Thank you, Hayden. I'm going to tuck into Warrick personal things just if I see things. Look in terms of the West Musgrave project this is really about just finalizing the scope Hayden. So we're confident in the project, but when we've got really good opportunities to bring in and couple of threats, it's not all about opportunities. There are few threats we need to address. It's about get walking down the scope, because we don't particularly want to be changing the scope all that much in the next phase of the work. So, that's the primary work for the West Musgrave project team, and as you can appreciate as I have already explained, our Loesche mill is not just about replacing one primary crushing method with another, it actually changes your whole flow circuit and your power design and your power output. So it's a pretty material change and you have to do that in the PFS, not the FS.
Hayden Bairstow: Hi Warrick.
Warrick Ranson: Look I think it comes Hayden to what Andrew has already said that, we've got a pipeline of choices and that pipeline will change in terms of timing. So I don't necessarily lose any sleep over, the expectation that will come together at the same time. We have stack in capital management strategy in terms of - the level of debt that where we currently comfortable with and taking on. And we pretty much cite within those boundaries. So I think, as things unfold and we do assess the projects as they progress, so we don't wait necessarily right to the end of the study phase. In terms of thinking about how some of those things unfold and how we progress with them if we believe that was the appropriate way to go. So it continues to be a moving phase and as you know today it’s not something that I necessarily lose any sleep over in terms of that and I think that will unfold over time.
Andrew Cole: I think one thing we probably add to that Hayden is that, we have already said that we don't want to be doing $2 billion projects at the same time. So we would sequence material projects to make sure there is sequential not – over the top of each other.
Hayden Bairstow: Just one quickly on Carrapateena, when there is obviously a bit of important infrastructure that needs to go in early next year. I mean - I assume that you're going to have - if it's not all done by the time we want to see guidance – with the first quarter in June, it was the fourth quarter in January that we could get some reasonably water ranges if it's still some of this key infrastructure still yet to be built is that sort of how to think about.
Andrew Cole: So early next year Hayden we still have primary crush up to complete so that will be the majority of that work will be completed this year but there is still a fair bit of work to do in early next year. The other material piece will be the completion of the conveyor and the high ends and the install. And then after that its development so we will able to be reasonably specific in our capital guidance in January for the year. Obviously once we know exactly where we’re up to at the end of this year. So those are the three main things off the top of my head that need to be built at Carra next year that will form the capital guidance.
Hayden Bairstow: But in terms of production guidance it could be a bit wide at the start of the year until you lock down the core timing and all those?
Andrew Cole: Yes, look I suspect so, we're probably going to give you a reasonable range where ramping up a brand new cave or sublevel cave obviously. So there will be a reasonable range in that. We are comfortable with the way that the sublevel is progressing. We have already started drilling production range in the first sublevel and now they are on top of the six levels. So I think the team is setting up exceptionally well for next year but we’ll need to provide a bit of range for next year just to give us some room.
Operator: Our next telephone question is from Sam Berridge from Perennial. Please ask your question Sam.
Sam Berridge: I am just looking at the recovery from Prominent Hill, there has been reasonably straight-line decline from circa 88% this time last year so 83% with the quarter just reported. Just curious what's causing that and to where - or should we extrapolate this trend forward or where should the plateau wrap?
Andrew Cole: I don’t have the last year’s data in front of me Sam but there is no long-term recovery trend that you should be using for Prominent Hill. We do occasionally trade off recoveries obviously for throughput depending on which blend we are producing. And as we do increase the gold feed the hard - ore hardness is slightly high so does have an impact as well. So no to answer your question there is no long-term trend so I wouldn’t take that line and just keep extrapolating it forward or use the average going forward.
Sam Berridge: Yes okay, and so there is nothing going on that's causing that decline other than perhaps coincidence in blending or what not so there is no issue that’s popped up over the last couple of quarters that is causing that decrease?
Andrew Cole: No, nothing that I am aware of Sam.
Operator: [Operator Instructions] Our next question is from Sophie Spartalis from Merrill Lynch. Please ask your question.
Sophie Spartalis: Just a quick one from me, just in terms of the exploration spend you’ve lowered that guidance by 5 million to 10 million. Is that due to projects dropping out of the portfolio or have you withdrawn from [indiscernible] can you just elaborate on that please?
Andrew Cole: Yes so the answer is - yes to both of those questions. A couple of the projects we've done the first milestones and I haven’t demonstrated what we're hoping to find so we've stopped the programs. Some of the programs we've started we got half way through and realized that the models we were using were not appropriate so we have terminated the drill program. So I would say I see this as a positive thing and we drill tested all the projects we set out to test year-to-date and more about just cutting the programs before we spend more than we need to.
Sophie Spartalis: Okay. So in terms of that 25 to 30 how much is that on the more advanced assets in the portfolio, is that just the really Greenfield projects so how much of that 25 to 30 is being spent on Carra, Prom Hill and let’s call West Musgrave?
Andrew Cole: No, none of them. These are all other exploration projects, so the ones in Sweden, Peru, Queensland so peripheral exploration projects around Carrapateena, some in Western Australia, Mexico. So Mexico for example we suppose to already drill tested and we haven’t done that program because - there is some issues that were permitting. So no, none of these are around the primary assets.
Sophie Spartalis: Okay, that’s clear. Thank you. And all my other questions have been answered, so thank you.
Operator: Our next telephone question is from Paul Young from Goldman Sachs. Please ask your question Paul.
Paul Young: Few questions on Carrapateena to start with, just on the development rates Andrew achieving bit over 3,000 develop meters for the quarter. How is that tracking compared to development plan?
Andrew Cole: We’re doing exceptionally well, I’d say it’s right on [indiscernible].
Paul Young: Good news. And then also with respect to production from the cave, when is first ore from the first production level scheduled?
Andrew Cole: So we’re obviously taking development ore now first adoption or is just before the end of this year.
Paul Young: Right, and then therefore with respect to the - I guess ramp-up I am looking at the installation of the underground conveyor complete at the end first quarter of 2020. Therefore should we expect that you did a 130,000 tonnes I think of development or during the quarter that's around that level is probably the mark for the next couple of quarters?
Andrew Cole: I'd lastly step up Paul because our development rates keep stepping up as we get more revival headings on various fluxion levels. So as we bring more equipment in so this number will step up and the proportion of development in ore versus in the ore rock, as we've been previously explaining crushing terms et cetera increases. So the amount of ore will be tracking to surface from a development ore perspective is actually going to increase.
Paul Young: A quick question for Warwick, you have been asked a few times about project sequencing et cetera. If you look at this high level you got about $2.5 billion of CapEx ahead of you know every project goes ahead. And I understand that the spending on the block cave Carra will only really commence sort of 2023 to 2027 timeframe. So really the questions around preference of which project gets a sanction really the question there comes down to Prominent Hill underground the shaft which there will be capital component I imagine versus West Musgrave. So the question I have is if copper prices is going to improve above sort of current levels and I am sure Warrick you have done this modeling based on the project studies and the capital outcomes you had in front of you. Can you actually do Prominent Hill underground together at ore at the same time as West Musgrave?
Warrick Ranson: That’s a perennial question because I mean we’ve also obviously keeping an eye on nickel price movements and where that goes. So again Paul I think it sort of comes back to as the projects unfold and we get more information on the patent of spent and the actual timing of those that will unfold. So we do have a view going forward in terms of - obviously how full capacity and how those projects unfold but yes price will be a key driver of that. So I suppose it is watching brief and I wouldn’t say yes or no at this stage.
Paul Young: Yes, we can talk about this more about I guess at the Strategy Day so that’s great. And last question just from the Loesche Mill Andrew, I have been seeing anything like this I guess the adoption need technology I guess [HPGOs] in 1990s and a few of the larger companies were sort of industry leaders on adopting the technology but they couldn’t do because they have large company. So I guess are you comfortable taking on the technical risks of new sort of milling technology for the industry. And then secondly what are the sort of CapEx side just rough exact that term versus sort of a crushing and sag milling traditional crushing sag milling technology?
Andrew Cole: So Loesche Mills are not new, Loesche Mills have been around 100 plus years. They are just typically not used in hard rock mining situations, they are more used in softer rock so cement limestone and quarry et cetera. So the technology is actually not new as the application of the technology. There is also, we are aware of one hard rock installation I think it's Posco that have got installation it’s been running for 15 or so years, it's actually a paper published on the use of a Loesche Mill in a hard rock mining environment. So we are obviously learning from that. So this would not be the first of its kind, but we also obviously want to get quite comfortable about the use of this technology in this situation. So I don’t think it's about whether the technology will work or not but the question is what will a cost to maintain the mill based on the way rates that you will see given the hardness of the rock. So that's what we're mostly testing at the moment and that’s what the power plant samples have been about running them through Germany and it’s also about liberation of metal obviously and then flowing on to how it floats. So those are things we need to be testing and that’s why we are running various power plants at the moment as opposed to what you primarily do at the crushing surface just take if granted not run power plants. So we are getting more and more comfortable with the technology and when we come to make a decision we will be able to share the result there is power plant we run the demonstration plants. So once we've done all of that that will tell us whether we are comfortable or not to use Loesche Mill. In terms of savings, I don’t think the savings are necessarily in capital I think it's about line fold. The savings are more in the power costs and operating costs. The other big benefit with the Loesche Mill is that you can switch it on and off quickly and you can run at full capacity or any rate or partial capacity and it's still just as effective where it’s a primary mill type you generally can’t do that. So if you can run Loesche Mill like that you can actually campaign run it and as you campaign run the Loesche Mill it means you can potentially only run it when you’ve got renewable energy. So in other words effectively free energy post capital. So that’s the benefit of the Loesche Mill and that's what we are investigating. It's effectively putting more mill capacity in West Musgrave than we need run it on free power and then only run the rest of the circuit when power is more expensive.
Operator: And our next question is from Larry Hill from Canaccord. Please ask your question Larry. It seems like he didn’t queue for the question, he cancelled. [Operator Instructions] There seem no more further questions on the line. I'd like to hand the call back to speakers for closing remarks. Please go ahead.
Andrew Cole: Okay, thanks very much Operator. Thanks very much for everybody dialing in and the great questions today. Enjoy the rest of your day. Thanks again.
Operator: Ladies and gentlemen that does conclude the call for today. Thank you for all participating and you may all disconnect. Goodbye.